Operator: Good day and welcome to the Nomad Foods Second Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the call over to Taposh Bari, Head of Investor Relations. Please go ahead.
Taposh Bari: Thank you for joining us to review our second quarter 2020 earnings results. With me on the call today are Chief Executive Officer, Stéfan Descheemaeker; and Chief Financial Officer, Samy Zekhout. Before we begin, I would like to draw your attention to the disclaimer on Slide 2 of our presentation. This conference call may make forward-looking statements that are based on our view of the company's prospects, expectations and intentions at this time, including consideration related to the impacts of COVID-19. Actual results may differ due to risks and uncertainties, which are discussed in our press release, our filings with the SEC and this slide in our investor presentation, which includes cautionary language. We will also discuss non-IFRS financial measures during the call today. These non-IFRS financial measures should not be considered a replacement for and should be read together with IFRS results. Users may find the IFRS to non-IFRS reconciliations within our earnings release and in the appendices at the end of the slide presentation available on our website. Please note that certain financial information within this presentation does represent adjusted figures for 2019 and for 2020. All adjusted figures have been adjusted for exceptional items, acquisition-related, share-based payment and related expenses as well as non-cash foreign exchange gains or losses. And all comments from hereon will refer to those adjusted figures. And with that, I will hand the call over to Stéfan.
Stéfan Descheemaeker: Thank you, Taposh, and thank you all for joining us on the call today. First and foremost, I hope that you and your families continue to stay healthy and safe throughout these unprecedented times. Earlier today, we reported our second quarter earnings results, marking Nomad's 14th consecutive quarter of organic revenue growth. In addition, we also announced our intention to commence a tender for up to $500 million of our ordinary shares, representing a significant return of capital to our shareholders. Starting first with our second quarter earnings results, we're pleased to report another quarter of exceptional performance, with nearly every financial metric exceeding the expectations that we provided on the first quarter earnings call. Second quarter financial highlights were as follows: organic revenue growth of 12.3% driven by a 9.9% increase in volume and mix, and a 2.4% increase in price; this performance was in line with the business update that we provided in June; gross margin of 30.3%, reflecting 50 basis points of expansion; adjusted EBITDA growth of 21% to €119 million; adjusted EPS growth of 26% to €0.34 per share. Based on our year-to-date performance and our expectation that sales growth in the back half will now remain elevated, we are raising our organic revenue guidance for the year. And we expect to be above the high-end of our prior range for both adjusted EBITDA and adjusted EPS. Importantly, this new outlook now includes approximately €10 million of incremental strategic investments to be deployed over the course of the next 6 months. Let's turn to the details of the second quarter beginning on Slide 4. We're very pleased to report second quarter organic revenue growth of 12.3%. Performance was fairly consistent throughout the quarter, with all 3 months achieving double-digit organic revenue growth. Importantly, we were encouraged to see growth sustained at an elevated level, even as stay-at-home restrictions were relaxed across Europe beginning in early May. Frozen food has proven to be one of the fastest-growing and most durable FMCG categories throughout Europe these past 4 months. At Nomad, our business has performed at a very high level, a testament to the agility of organization and the power of our brand. Moreover, our portfolio is concentrated in the sweet spot of the packaged food space in frozen, branded and retail. This focus has worked to our advantage and it is where we continue to direct our attention. While we had original plans for strong growth in 2020, the impact of COVID-19 has undeniably accelerated our top- and bottom-line, results due in large part to an influx of new consumers discovering our brands and significant repeat behavior since the start of the pandemic. During the second quarter, we recruited an unprecedented number of new consumers into our portfolio, with 12-week overall penetration up 4 percentage points to 44% across our 3 largest markets. Across each of our 3 largest markets, the UK, Italy and Germany, millennials demonstrated the strongest spending growth amongst new consumers, a clear indication that our power brands, Birds Eye, Iglo and Findus, are resonating with this important and influential set of shoppers. Our expansion of Green Cuisine will only further strengthen our appeal amongst millennials, given the high value that they assign on food that is healthy, convenient and sustainable. In terms of repeat purchase, we saw a notable year-on-year uptick amongst users who repurchased 2 times or more during the quarter. For example in the UK, our largest market, nearly 40% of Nomad users repurchased into our brand 2 times or more during the second quarter. We are encouraged to see repurchase rates that are best-in-class amongst frozen savory, ahead of other branded competitors. We responded to sustained and elevated demand by running our product lines at maximum capacity, while creating new safety protocols in our factories, all which have remained open and operational throughout this pandemic. Despite these extraordinary efforts, there were still parts of our portfolio where demand outstripped our ability to supply during the second quarter. As you may know, our largest factories in Bremerhaven, Reken and Lowestoft were already running at high utilization rates prior to COVID-19. While there was adequate capacity to deliver our original plans, the unanticipated spike in demand did create some bottlenecks, which reduced our factory service levels to as low as 87% in April. We responded by increasing factory output and reducing demand creation activities during the second quarter, mainly advertising and in-store promotions, which led to temporary market share declines during the month of May and June. The good news is that these actions have enabled us to not only improve our customer service levels, which are now back to a robust 98%, but also to rebuild our own inventory levels to support our expectation for elevated consumer demand in the second half of 2020. Further, preliminary data in July suggest that our market share is stabilizing, and we now have the capacity and promotional support to deliver on our robust plans for the third and fourth quarters. Moving on to gross margins, we achieved 50 basis points of gross margin expansion during the second quarter, a positive development versus our prior expectations which called for year-on-year decline. This was driven by lower promotions as I just described, but also fixed cost leverage and favorable channel mix. We're pleased to see the business return to gross margin expansion one quarter earlier than we had originally planned and remain on pace to achieve gross margin expansion during the second half of the year. As you may know, we have successfully navigated an unprecedented level of raw material inflation in 2019 and 2020, arising from a correction in fish prices and persistent strength of the U.S. dollar, the transactional currency for approximately 20% of our cost of goods. Inflationary pressure is now clearly abating. Earlier this year, before COVID-19, we had already observed a moderating trend in fish prices, a welcome development. Since then, supply/demand dislocations in the out-of-home channel have created some unique opportunities for us. These benefits should accrue in the back half of this year. Another recent trend has been a strengthening of the euro, which is near a 2-year high versus the U.S. dollar. To the extent that this trend sustains, a strong euro would help further contain our cost of goods in 2021, while driving a higher real-time conversion of our euro denominated results into U.S. dollars, the currency in which our stock trades. Finally, we generated a significant amount of cash in Q2, bringing our first 6 months adjusted free cash flow generation to €243 million. We have made meaningful strides in optimizing our working capital terms over the past year and are pleased to be in the position to both generate this amount of cash, but also use it to fund highly accretive actions like the expected tender offer which we announced today. Our business has performed at an exceptional level through the first 6 months of 2020, with consumer shifts to at-home consumption and frozen food, in particular, providing strong macro tailwinds. Looking forward, as I mentioned earlier, our business is exceeding our expectations relative to where we thought we would be exiting Q1 and certainly versus our plans at the start of this year. This has created a unique opportunity to both raise our guidance for 2020 and to deploy approximately €10 million behind incremental strategic investments to capitalize on our success to date and fuel key growth initiatives to position the business for continued success entering 2021. While this year's guidance would have been even higher with all these investments, we're fortunate to have the opportunity to deploy capital to create sustained long-term value for our shareholders. Our plan is to allocate these additional resources across 3 strategic pillars of growth: one, the targeted retention of new consumers who have entered our brand since the onset of COVID-19; two, even greater media support behind our core portfolio where we have superior ROIs; and finally, doubling down on Green Cuisine, our plant protein brand. Green Cuisine continues to perform very well, with the revenues and gross margin both exceeding our plans. This is despite a delayed activation program which we shifted our plans from Q2 to Q3 as a result of COVID-19. I'm happy to share that we are now beginning to activate the Green Cuisine brands across our Continental European markets with a multichannel media campaign and traditional trade and promotion support. This is starting in Germany and Austria as we speak, and we'll expand to the other markets throughout the third quarter. In terms of distribution, Green Cuisine, which was available in only 2 countries at the start of the year, is now available in 10 European markets and will be in all our markets by early 2021. And finally, we're making excellent progress along our innovation agenda with Green Cuisine set to expand into the exciting meat-free poultry category in the coming weeks starting with the UK market. I'd like to conclude by providing some broader perspective as we celebrate our 5th year anniversary as a public company. We are on an exciting journey, and I'm sure that I speak on behalf of our entire organization, when I say that we are incredibly proud of the performance that we've been able to generate in a relatively short period of time. And we look forward to the opportunities still to come. Our second quarter results mark Nomad's 14th consecutive quarter of organic revenue growth. And based on our updated expectations for this year, we are well on our way to delivering a 4th consecutive year of organic revenue growth in 2020. While we have clearly benefited from unprecedented demand for frozen food, this slide also demonstrates our longer-term track record for growth leading up to this year. From day 1, we have managed this business with a [no nonsense] [ph] mentality, acting in the best interest of long-term sustainable shareholder value creation. As such, we firmly believe between our consistent track record of delivering results, solid financial health and attractive growth prospects that Nomad Foods is well equipped for continued success throughout and beyond the COVID-19 pandemic. This brings me on to the other piece of news this morning. Earlier today, we also announced our intention to commence a tender offer to purchase up to $500 million of the company's ordinary shares. As you know, we raised equity 18 months ago to prepare ourselves for a slate of interesting acquisition opportunities that we saw ahead of us at the time. We have maintained our discipline by sticking to our acquisition criteria and ultimately passed on a number of deals. In the meantime, our business has evolved in a very positive way. Our revenues, adjusted EBITDA and cash balance have grown while our leverage has come down. As we sit here today, we see numerous avenues for growth within our European frozen food footprint, both organically and inorganically. And as a result, we believe that further concentrating our strategic focus within these opportunities offers our shareholders the best return on our investment. Organically, we have strong momentum and are making incremental strategic investments to ensure that our business is well positioned entering 2021. Consumer interest in our iconic brands has never been higher. Moreover, expansion to the plants protein space through Green Cuisine positions the company for the possibility of accelerated organic revenue growth in the years to come. At the same time, we are refining our M&A focus towards European frozen acquisitions, which are primarily midsized in nature. This compelling and targeted pipeline will require us to carry significantly less cash on our balance sheet than we have in recent quarters. This brings me to our intention to repurchase up to $500 million of our stock through a modified Dutch auction process. As stated in this morning's announcement, the expected tender offer is intended to serve 2 objectives: first, we recognize that we are carrying more cash than we need. And as a result, we are returning excess cash to our shareholders in what we believe is the most efficient way of doing so; second, we believe repurchasing our shares is a compelling and accretive use of our cash, while preserving financial flexibility to pursue our M&A pipeline as I just described. Our confidence in the growth prospects of our business and the European frozen food category has never been higher. In fact, we have begun planning our first ever Investor Day to be held virtually later this fall to present the various growth initiatives ahead of us. We look forward to sharing more details on this exciting event in the coming weeks. And with that, I will hand the call over to Samy to discuss the financials and guidance in more detail. Samy?
Samy Zekhout: Thank you, Stéfan. And thank you all for your participation on the call today. Turning to Slide 7. I will provide more detail on our key second quarter operating metrics beginning with revenues, which increased 11.4% to €599 million driven by 12.3% organic revenue growth and were offset by 90 basis points of foreign exchange translation. Organic revenue growth was stronger than we expected at the time of our Q1 earnings call in May and was in line with the business update that we provided in June. Organic revenue growth was led by our branded retail business, which represents 90% of sales and grew just under 20% during the second quarter. This was offset by more modest growth in private label and declines in foodservice. Growth was geographically broad based, with 7 of our 13 countries posting revenue growth in excess of 15%. Second quarter gross margins expanded 50 basis points to 30.3%. The year-on-year increase exceeded our prior expectations and was driven by reduced promotion fixed cost leverage and favorable mix. We are pleased to see the business return to gross margin expansion and continue to anticipate year-on-year gross margin expansion throughout the second half of the year as a result of supply chain productivity benefits. Moving down to the rest of the P&L. Adjusted operating expenses increased 1% year-over-year, reflecting growth in indirect and a double-digit decline in A&P. The decline in A&P, which we had planned for, reflects our prior decision to shift Green Cuisine advertising from Q2 to Q3 and to reduce unnecessary stress on our supply chain amidst an unprecedented level of consumer demand. Adjusted EBITDA increased 21% to €119 million. And adjusted EPS increased 26% to €0.34 for the quarter. Turning to cash flow on Slide 8. We generated €243 million of adjusted free cash flow during the first 6 months of the year, nearly 3 times the amount that we have generated for the same period a year ago. In 6 months, we have already surpassed the amount of free cash that we generated through all of the year 2019. This is an exceptional level of performance, and I'm proud of our entire organization for maintaining that discipline on cash throughout this crisis while making structural enhancements in our working capital over the past 2 years. In addition to better terms on both receivables and payables, working capital also benefited from the fact that we significantly depleted our inventories as we chased demand as a result of COVID-19. We converted nearly 180% of our adjusted EBITDA into adjusted free cash flow through the first 6 months of the year, reflecting seasonality, structural enhancements and the effects from COVID-19. Looking out, we expect Q3 to be a use of working capital as it typically is due to the harvest. Moreover, with our customer service level now back to normal, we're also rebuilding our inventory stocks to support our second half plan and to secure enough safety stock in the event of a second wave of COVID-19 across Europe. With that said, we do expect to end the year with robust cash generation and cash conversion. With that, let's turn to Slide 9 to review our 2020 guidance, which is based on foreign exchange rates as of August 3, 2020. For the full year 2020, we are raising our organic revenue guidance from mid-single-digits to high-single-digits. As a result, we now expect adjusted EBITDA and adjusted EPS above the high end of our prior guidance ranges. This equates to adjusted EBITDA in excess of €460 million and adjusted EPS in excess of €1.27. When translated into U.S. dollars, the currency in which our share trade, full year 2020 adjusted EBITDA guidance equates to at least $543 million, and adjusted EPS guidance equates to at least $1.50. Adjusted EPS guidance assumed a fully diluted share count of 198 million in Q3 and Q4, which may ultimately be lower based on the outcome of the proposed tender offer which we announced this morning. Our guidance now assume an elevated level of organic revenue growth in the second half of the year, reflecting 4 factors: 1, the sustained level of growth that we have experienced throughout the pandemic, including double-digit organic revenue growth in June and July, despite the easing of government restrictions; 2, the accretive effect of the strategic investment that Stéfan described in his remarks; 3, the replenishment of retailer inventory, including the recovery of out-of-stock positions; and 4, the return to a more normal promotional level now that we have our service level back to normal. As I mentioned earlier, gross margins are expected to increase in the back half of the year as a result of supply chain productivity. And finally, we expect operating expenses to grow ahead of revenues as a result of our decision to deploy incremental strategic investments in the back half of this year. That concludes our remarks. I will now turn the session over to Q&A. Thank you, operator, back to you.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Andrew Lazar with Barclays. Please proceed with your question.
Andrew Lazar: Great, good morning, everybody, or I guess, good afternoon for you.
Stéfan Descheemaeker: Good morning, Andrew.
Samy Zekhout: Good morning, Andrew.
Andrew Lazar: I want to start off, if I could - I really appreciate the specific wording in today's release around the refined strategic focus, right, for some of your M&A going forward, to be really specific to sort of European frozen food acquisitions. I think, Stéfan, maybe it was a few quarters ago, even where you had started to talk about the increased sort of time and resources that Nomad was spending against really developing relationships through multiple different avenues with potential targets around some of these types of frozen food targets. And I'm curious, is it your sense that maybe those relationships are now starting to become a little more fruitful or you've got a little more visibility around how some of those might work out? And how has the sort of current state of affairs, all things pandemic-related, impacted some of those discussions maybe with potential targets one way or the other? That would be the first thing.
Stéfan Descheemaeker: Okay, okay. Thank you. Long question, I'll try to, let me start with a bit of background, Andrew. It's 14 consecutive quarters of growth, this with a cash flow that is generating this quite high, more than 0.5 times a year, obviously deleveraged balance sheet. And in the middle of this, with and without COVID by the way, frozen food that is, looks increasingly attractive. And we're in the middle of this as the category leader. So we think - and again, that's why deliberately I'm talking about organic and inorganic, but both are extremely attractive for us. And I think it's the right thing to do, which is to be disciplined to be logical which is we're going to focus behind this category. Green Cuisine is a great example. And in terms of M&A, yes, I think it's important to mention, and you're right talking about refined M&A focus. It's an interesting pipeline. It's a pipeline where for - as a leader, you have all the reasons to generate good value from this. And besides that, obviously, you know as much as I do, that M&A is - you have to talk to people. And at some stage, it's coming. So, when you can't plan these things, but you have to be ready. And what we see is with refined focus and with so much cash, we think it's only the right thing to do to return cash to shareholders while leaving, obviously, enough cash and cash flow generation for this refined focus. So that's how we see things, which is we think quite logical and also requires obviously quite some discipline.
Andrew Lazar: Thank you for that. And then, I don't know if you have this handy. And if not, obviously that's fine. You talked about some of the trial and repeat metrics that you're seeing for current - I think you described it as current Nomad users. I didn't know if we dig down a little bit there and we look at those that are - consumers that are new to the brand, if you will, how their repeat looks as well.
Stéfan Descheemaeker: That's the good news. And again, let me use, a potential - a good proxy, which is the millennials. And what we can see is that these new Nomad buyers, we - the millennials over-index. And it is interesting, Andrew, it goes the same way in UK, in Germany, in Italy, which represent altogether something like two-third of our business. So that's for us a good news, 2 good news. One is that we are gaining penetration across the board. And second, when you - to your point, when you would dig deeper, you go to the millennials, it goes even faster.
Andrew Lazar: Great. Thanks very much.
Stéfan Descheemaeker: You're welcome.
Operator: Our next question comes from the line of John Baumgartner with Wells Fargo. Please proceed with your question.
John Baumgartner: Good morning. Thanks for the question.
Stéfan Descheemaeker: Good morning.
Samy Zekhout: Good morning, John.
John Baumgartner: Samy, you're - Good morning. You're about 4 to 5 months into this elevated COVID demand environment. And I'm wondering if you could elaborate a little bit in terms of what you're learning about your supply chain right now, whether it's newfound realization of flexibility. You mentioned the increase in capacity or maybe even new recognition or inefficiencies in the midst of this demand uptick. So how are you thinking about the phasing and the opportunity set related to the overheads and the lean manufacturing at this point? Thank you.
Stéfan Descheemaeker: Let me start again by thanking our people in terms of supply chain. I think they've been fantastic. And with - all the 13 plants have been left open throughout this whole process, which shows something in terms of motivation of our people. The reality is we have a reasonably tight, and obviously we're working on it, capacity utilization across the plants, especially with our big plants in Germany and in the UK. And so, while the team has done a fantastic job, we've been producing as much as physically possible. And in the meantime, during this crisis, where our service level unavoidably went to - started to go down, we also have tried to respond by reducing the promotional activity, because that would have been a mistake. And by doing so and by obviously working very hard with the supply chain, now we're back to, I mean to more normal level in the region of 98%. And we've been able to produce some safety stocks, so that we're feeling in a better shape in the - looking ahead in Q2. So that's where we are. We're not standing still, obviously. We are also checking short to mid-term how we can obviously increase some capacity in some plants. But that's where I think we are. And we see this, by the way, in terms of market share starting to normalize. Samy, anything else I'm missing?
Samy Zekhout: No, Stéfan.
John Baumgartner: Thanks for that. And then, Stéfan, just a quick follow-up on Green Cuisine, wondering if you could just update a little bit for us in terms of the UK, household penetration, market share, anything noteworthy there? And then, I think also in H1, you launched into a number of new markets. Obviously, still early, but I'm curious any observations you can make thus far in terms of retailer merchandising and you have initial buy-in, before the marketing really kicks-in in the back half of this year? Thank you.
Stéfan Descheemaeker: Yeah. So overall, and again, independently from COVID, I think what we can see in the countries like UK or Ireland where we started ahead of time, and in the new countries, we're gaining market share. So that it means something that we, as a category leader in frozen food, we're coming with the right combination in terms of quality of products and in terms of pricing. So that's one thing and that's very interesting for us. What we also can see is, yes, initially we thought that we will be a bit late this year given COVID, because when you have that kind of crisis, the retailers, and for the right reasons by the way. The retailers prefer to focus on a very limited number of SKUs, because it makes their life easier. It's a better allocation of the space and all the rest of it. And I fully understand that. And at the same time, what we've seen is, no, I think we're not behind plan, quite the contrary. We've seen all our countries, with the exception of 3 markets, but they're going to come in the second - by next year, they will be also ready. So another 8 countries have launched Green Cuisine. And in our model, John, what you need to understand is, it's global local, obviously, to have the input and to have the, let's say, the feedback and really have the countries with you is crucial. And so, with the enthusiasm that we have seen from these guys, we are very positive. We are more than ever confident that our target of €100 million plus by 2022 will be achieved. And in the meantime, we're not standing still. So we've started to advertise in Germany and Austria. Other countries will come. We also, in terms of innovation, we're coming with - I think it's coming next month actually in September in the UK, with the new line of plant protein in terms of poultry, which is excellent. I can tell you, it's a great taste, fantastic. So all our exec members, when we have this, I know it's a digression, but still I couldn't resist. We have this tasting session. I can tell you at the end of the testing session, nothing was left. That would say something about the quality of the product. So that's where we are. We also, as you can see, we've also decided to allocate part of the €10 million to further reinvestment behind Green Cuisine, because we think it's a great category. It's there to stay, but you have to think big, and that's what we increasingly are doing. So that's what we see. So we all - and I'm sure that what I'm saying is fully representative for what the whole organization thinks behind Green Cuisine, very exciting, and fully in line with our strategy.
John Baumgartner: Thank, Stéfan. Much appreciated.
Operator: Our next question comes from the line of Rob Dickerson with Jefferies. Please proceed with your question.
Matthew Fishbein: Hi, good morning. It's Matt Fishbein on for Rob. Thanks for the question and congrats on a solid quarter.
Stéfan Descheemaeker: Good morning.
Samy Zekhout: Good morning.
Matthew Fishbein: So A&P was down in - it was down double digits in Q2 and you're investing an incremental €10 million in the back half. I'm assuming that's on top of the Q2 shift. What does the promotional environment in your key geographies look like currently? Have you seen a full normalization of promotional activity or some markets still less promotional than others? And on Green Cuisine, glad to hear you're doubling down and it's exceeding plans. On the Q3 rollouts, thinking back to the slide you shared with us at CAGNY showing the 2020 timeline, will Green Cuisine be out in all those planned markets by the end of Q3 or Q4? I think in response to John's question, you said that some markets are now planned for the beginning of next year, just trying to get some clarity around that. And how many of these markets have seen advertising get activated already versus how much is coming on later this year? Thank you very much.
Stéfan Descheemaeker: Samy, do you want to start with the promotion side?
Samy Zekhout: Yes, I'll get started on the promotional side. I mean first foremost, yes, we've been shifting, I mean, advertising spending from Q2 to Q3, and have made the strategic choice to reinvest in the range of about, let's say, €10 million. You can see effectively that there was a very strong momentum. I mean that gives us the confidence that this was the right move with the appropriate return on those investments. The one thing that's important to note is this is a promotional category. So we have to be clearly present from a promotional standpoint. And so, when you look at where we are today with our supply chain back to almost normal, we are going to take our promotion back to normal as well and be able to defend the business. I'll leave it up to you to Stéfan, to Stéfan to comment on Green Cuisine.
Stéfan Descheemaeker: Yes. Thank you, Samy. So back to the countries, actually having already 10 countries carrying Green Cuisine is higher than what we originally planned. So that's very good for us. And again, the Nordics are coming very early next year, so that's that. Second piece in terms of advertising, we already started to advertise in Ireland and in the UK last year. And actually we're just starting to advertising in North Germany and in Austria as we speak actually. The other countries are going to follow in the coming weeks, so more to come. Its initial results are good. And by the way, something I forgot to mention is what we can see is also is a great enthusiasm from the retailers. And we see this from the quality of the plans we're putting together with them.
Matthew Fishbein: Perfect. Thanks for the additional color and just a quick follow-up, Stéfan. Have you won any incremental distribution beyond what you originally secured for Green Cuisine based on the retailers' response?
Stéfan Descheemaeker: The answer is overall, as I said, a great response from the retailers in the UK, which is probably the best, where it's the most relevant piece, because that's the most mature market, and that's where we have already gained a significant position. What we can see is, without mentioning names obviously, by definition, you don't want to do this. That we're working on partnership even closer with them, which means you understand what it means, yes, that we're doing well in terms of positioning in terms of obviously space allocated to Green Cuisine. And again, it's not limited to the UK. We'd invite you to go to France and you have some great examples of in-store activation.
Matthew Fishbein: Excellent. Thank you very much.
Operator: Our next question comes from the line of Brian Holland with D.A. Davidson. Please proceed with your question.
Brian Holland: Yeah, thanks. First question, if I could, can you just frame for us kind of what your sales trends are looking like, either kind of how you exited the June quarter or to the extent you might have information to that end in July?
Samy Zekhout: So what we, I'll start and, Stéfan, you...
Stéfan Descheemaeker: Yeah, yeah, please, please, please.
Samy Zekhout: Sure. As we mentioned, actually we were up double-digits in June and July. And our prospect for the year is that we will be in a high-single-digit range roughly.
Brian Holland: Okay, thanks. Apologies if I missed that earlier. And then, last one for me, just on the M&A front, Stéfan. I think you mentioned in your prepared remarks that you passed on several opportunities. And I'm just reconciling that with the commentary about targeting more European frozen assets. The stuff that you passed on, is that valuation-focused or is that just kind of - is that a valuation issue, or is this just thinking about kind of the momentum that you're seeing in frozen and just a decision that you've made as you looked at other assets, maybe outside your core, either from a category or a geography standpoint? Just maybe any color there that would help us understand the deals that you passed on.
Stéfan Descheemaeker: Actually, it's all of the above, let's put it that way. I think we've come up from the start by the way, with a list of criteria. We remained very disciplined with this M&A criteria. And all these acquisitions didn't pass the right test, sometimes in terms of valuation, sometimes in terms of quality of assets. And then, increasingly so, what we could see is, as you know, over the last years, this category is really improving. Obviously, it's been exacerbated by COVID and I think it's more than a short-term blip and we're in the middle of this. So with this, when we saw this, we thought that refining going, focusing even further behind frozen, where we know we understand the category much better than anything else was the right thing. So it's a combination of both. And again, and I used the word probably several times today, so maybe too many times, but I think it's a question of discipline as well. M&A is also a game of patience. It is difficult, because sometimes you are getting too excited for something you have worked very hard for. And at the same time, you should never forget, you know that, it's about patience, it's about discipline. And discipline in this context means for us that buying back our shares is, we think, the right investment.
Brian Holland: Appreciate the color. Thank you.
Stéfan Descheemaeker: You're welcome.
Operator: Our next question comes from the line of Bill Chappell with Truist. Please proceed with your question.
Bill Chappell: Thanks, good morning, good afternoon.
Stéfan Descheemaeker: Good morning.
Bill Chappell: I guess first on the M&A and on the tender offer, I mean should we look to that to imply I guess, one, that you basically - the things you're looking at are more expensive than your current stock price, and so this was a better use of cash in the near-term? And then two, should we assume that the big potential acquisition that was out there is really kind of moved on to - it's really more of the smaller consolidating-type acquisitions versus kind of reaching for the big opportunity that sounds like it's now out of reach?
Stéfan Descheemaeker: I want to do this slightly differently if you don't mind, Bill. Back to the multiple, I think multiple is one of the variables, and it's only one of them. And sometimes you have fantastic deals that may be at a high multiple, and sometimes you have poor deals at low multiples. So I'm not sure that multiple is - it's only one variable, one criteria, so I would not [commit] [ph] myself to the multiple. And then in terms of size of the deals, the nature of the frozen food in Europe is such that most of the deals are midsized. And that's just that, that's just why. And the decision to go to return cash to shareholders is just a manifestation of what the reality of the market is. We believe that with the balance sheet we have after the tender, with the cash flow generation we have, and we see - we compare this with the kind of assets that are available and interesting assets, we believe that we can do them, because they're mostly midsize by nature today. So that's that.
Bill Chappell: Got it. And then just switching to kind of private label, I guess the thought is we'll have an extended recovery. Private labels are already fairly prevalent. Some of your - especially just frozen veggie categories can be viewed as commoditized. I understand that you're putting more money to kind of retain the new customers and brand building. And obviously Green Cuisine is different. But can you kind of help us understand kind of your outlook over the next few quarters of just how you thinned off private label or consumer trade-down in some of those more commoditized categories?
Stéfan Descheemaeker: Okay, let me start with the word commoditized because - and I know that a lot of the Nomad Foods employees do listen to this session. And they would totally disagree with you, by the way. When you go to the UK, for example, and you would say that our peas are commoditized, no, they're coming with a premium because they have quality that is really premium. You cannot imagine how much care has been put behind these vegetables in terms of quality, in terms of education, in terms of training with the farmers. And again, it's limited to the UK. You would go to the spinach in Germany, you would have the same. So that's our first thing because commoditized, I can tell you, I mean it's not - it's quality product. And it doesn't come by chance. It's really a question of know-how and many things. So sorry for this long digression, but I it was important to make the point. Back to private label, in Europe we probably have a longer tradition of private label than in the U.S. I've seen that also in my background in - as a retailer, both Europe and in the U.S. So today private label represents around 40% depending on the category, but overall it's stabilizing. What we have seen during these 3, 4 months is actually the market share of the private label has been stable, and to some extent in some countries, even declining throughout the year - throughout the 4 months. So now if you're looking ahead of us, when you look at the likely recession, I would - even before starting to talk about private label, I would start about - I would talk about, let's say, frozen food, which is a - convenient but it's also, I mean, affordable, and our products are affordable. So this category tends to do well during recession times. Obviously, private label does well as well. But again, we - as an A brand between our core products, Green Cuisine, the retention of our new consumers, we will - and our additional investments, we believe that we have what it takes to be - to do well during these times. And again, private label and A brands do well better, because retailers do need these brands as well.
Operator: Our next question comes from the line of Jason English with Goldman Sachs. Please proceed with your question.
Jason English: Hey, good morning and good afternoon, folks. Thank you for sliding me in.
Stéfan Descheemaeker: Hi, Jason.
Jason English: I want to come back to the M&A strategy. And first, I'm very - we find it to be very welcome news, the buyback and the increased discipline, the increased focus. But I guess I'm still a little unclear as to what catalyzed this narrowing of focus. Because the last couple of years, I've heard you talk about expansion into different categories, expansion into different markets. But now you're coming back, you're really narrowing, really focusing and bringing more discipline. What changed? What catalyzed that pivot?
Stéfan Descheemaeker: I wouldn't put it that way, Jason. I think it's - the last 5 years have been a journey. When we started, Nomad was losing market share in a declining category. A tired category, I would put it that way. And the first thing we've done is to make sure that in terms of turnaround, we would regain our position as leader in the category. And then little by little, what we've seen is the category has - at least has potential - had the potential to offer more. And what we see increasingly so is that it is really a very - more than promising. It's doing extremely well as a category. And we are in 2 sweet spots, which is we are the category leader. We're coming with new products, you know the rest of it. I would say COVID has only exacerbated this trend. And we thought from that, it's unavoidable that the best way to be disciplined and also to be mindful in terms of value creation is we are in the middle of this. We have everything that it takes in terms of organic growth. We have what it takes in terms of inorganic growth. Let's go for it, and that's that. But when you think about the must-win battle, the COVID retention, the Green Cuisine, all the things we have developed over the last 5 years, this goes very well with a focused and disciplined approach organically and inorganically. That's why - and at the same time, we obviously - you can imagine, Jason, we've spent quite some time thinking what the pipeline is. And it's - without mentioning names, it's a very good pipeline. It's a very attractive pipeline, and that should keep us busy for quite some time.
Jason English: Okay. That makes a lot of sense. I agree with it a lot. Coming back to business momentum, you sort of foreshadowed a bit into 2021 when you mentioned that your cost position when we contemplate both where commodity's going, particularly fish and in currency. In the context of the economic backdrop, sort of building on last question, potential private label pressure and deflationary input costs into next year, how should we think about your pricing? You successfully raised prices through the inflationary period. Is now the right time? Is it appropriate to give some of that back, whether it be in the form of list price or higher promotions as we think about 2021?
Stéfan Descheemaeker: Okay. Samy?
Samy Zekhout: Sorry. I mean at this stage, to be fair, it's premature, I mean, to talk about 2021. I mean we're holding a lot of the observation you have in terms of economic trends that are absolutely right. And we're going to have an Analyst Day. I mean we're undertaking now a complete review of our plans. I mean as we are refining going into the next year, capitalizing on the momentum that we have in the second half. And we'll have an Analyst Day as we said, I mean, to clearly share with you the plans and how we're going to be managing all of this, I mean, across the year of, let's say, across next year. So at this stage, frankly, we'd rather really reserve the comments for 2021.
Jason English: Yeah, yeah, yeah. I understand. Thank you very much. I'll pass it on.
Samy Zekhout: Thank you.
Operator: Our next question comes from the line of Robert Moskow with Credit Suisse. Please proceed with your question.
Robert Moskow: Hi, thanks. I think several people have already asked about private label spreads already, but I'm going to ask it in a different way. In your interaction with retailers, have you seen them start to develop more aggressive private label plans for merchandising? Like your categories are growing, and I would imagine that private label retailers like to expand private label in categories with a lot of growth. So can you comment on what you think their plans are for expansion, particularly in plant-based protein? Because it seems like there is access to that texturized protein if those retailers want to develop their own versions of Green Cuisine.
Stéfan Descheemaeker: So - Hi, Robert. The answer to your first question, the answer is yes. We see that they're developing plans. And at the same time, we think it's absolutely fine. There is a place for brands and especially for A brands. And we are A brands, and that's absolutely critical. There is place for A brands and for private label. And the game as such has not changed, Robert, it's always the same. You need to come up with things that are attractive to these guys. Plant protein is a good example. An improved quality is another example. Because at the end of the day, what matters for the retailers, and I know that for a fact, is the key indicator is the gross profit per square meter or per SKU. And from that standpoint, A brands are just fantastic. So that's what we need to deliver. I think at the same time, there will be also a brand and non-brand rationalization, which is also fine. I think at some stage, too much choice for the consumers is not necessarily a good thing. And that's what the kind of things we need to do. And at the same time, it's going to be our job obviously to make sure that our innovations like Green Cuisine are well positioned. But to your point about plant-based protein, is it available - is the technology available to these guys? At some stage, it will be. But again, nothing new in this world, it's always been like this. It's the job of brands to come up with the innovation. And at some stage, is it 6 months, 1 year, 2 years or 3 years down the road? The retailers that are obviously following with private label. So that's nothing new. And I don't see why plant protein should be different from that standpoint. So you have to come up with better quality. And that's why you heard me saying I was almost becoming, I would say, romantic about the quality of plant protein and with poultry, which is just remarkable.
Robert Moskow: Okay. All right. I'll follow up later. Thank you.
Stéfan Descheemaeker: You're welcome.
Operator: Our next question comes from the line of Faiza Alwy with Deutsche Bank. Please proceed with your question.
Faiza Alwy: Yes. Hi, good afternoon.
Stéfan Descheemaeker: Good morning.
Faiza Alwy: Hi. So I wanted to talk about various - sales in various countries, because as we dig a little bit deeper, it feels like some countries did better than others. We know about some of the issues in the Nordic region, but I thought UK was a little bit below Italy, Germany, France. So I'm curious if you could provide more color around that? Was it more of a market differences? Or were there share differences?
Stéfan Descheemaeker: Samy?
Samy Zekhout: Sure. Yeah. Hi, Faiza. Overall, if you think of, let say, all of the markets with, say, minor exception, we had a pretty consistent H1 performance across the board. I mean as we had mentioned, I mean in the vast majority of our market have been growing quite significantly. And if you talk about the UK, I mean the UK was up about 16% in Q2, which was quite above, I mean, average. So I think when you look at effective the total map from the market, you really see the big ones, I mean, clearly winning very well, driving the growth and a bunch of smaller ones as well continuing to get on the same growth pattern overall. But the growth was pretty broad-based, I would say.
Faiza Alwy: Okay. And then just on - I know you've talked previously about e-commerce. And I think when we talked in June, you talked about the significant acceleration in online grocery and how your share is higher there. So I'm curious if those trends have continued as some of these markets have begun to reopen and what your share performance has been online?
Stéfan Descheemaeker: The answer is yes. I think the growth remains very, very high, sometimes north of 50% until now. And so that's more than a blip. And in the meantime, interestingly enough, in the most mature markets that is the UK, all the big players have doubled sometimes the capacity. We also have obviously people like Ocado. So it's there to stay. Again, we like e-commerce. We like e-commerce because it's - frozen food is doing well with e-commerce for a variety of reasons, defensive and offensive, and we see that in our numbers.
Faiza Alwy: Okay. And then I do apologize for coming back on the tender question. But in my opinion like, share repurchase, especially for a small-cap company, hardly ever creates long-term value creation. If anything, it might result in reduced liquidity. So I wonder if you thought about reducing your debt even further as opposed to repurchasing shares.
Samy Zekhout: We looked at all possibilities in the context that Stéfan has described. And our borrowing costs, I mean, today are about 3%. We looked at effectively the cash needs that we would have for the future in light of all of the comments that have made. We have a pretty good, I mean, leverage in place. Actually, that would allow us to continue the strategy of growth that we have. And we felt that after a thorough review of all of our capital allocation options, that this was the best option, I mean, from a value - shareholder value creation.
Faiza Alwy: Okay. Thank you.
Operator: Our next question comes from the line of Jon Tanwanteng with CJS Securities. Please proceed with your question.
Jonathan Tanwanteng: Hi, thank you for taking my questions, and congrats on a strong quarter and the outlook as well.
Stéfan Descheemaeker: Thank you.
Jonathan Tanwanteng: My first one is just as you look into 2021, is it possible to grow year-over-year given the extremely tough comps you've been facing? And what would it take to drive growth of it there? Is it Green Cuisine? Is it high customer retention from people new to the brands this year? And what do you - are you expecting to achieve that at this point?
Samy Zekhout: It's - as I had mentioned, I mean, earlier to Jason, I think it's premature to say at this stage. We are clearly gathering all of the details to really setup our goals, I mean, as we get into the next year. All I would say is that effectively we have a strong momentum with - especially with the investment that we are making in the second half exiting, I mean, 2020. And we are committing to driving, I mean, long-term sustainable growth. And we believe that we have the drivers. I think the strategies we have in place have been proving very effective pre-COVID, during COVID and exiting from COVID with investment that we are making, we clearly feel confident of the momentum we have exiting the year.
Jonathan Tanwanteng: Got it. And then just quickly on the July trends, are you finding that that's more people who are sticking with the brand as they go back to their normal lives? Or is it more that there's still people staying home, either due to a resurgence of pandemic scare in some regions? Or even where people are relatively safer, they're still likely to stay at and eat at home and not at restaurants?
Stéfan Descheemaeker: At this stage, and again it's quite early to say, but what we see is really a combination of both, Jon.
Jonathan Tanwanteng: Got it. Thank you for the color.
Operator: We have no further questions at this time. Mr. Descheemaeker, I'd now like to turn the floor back over to you for closing comments.
Stéfan Descheemaeker: Thank you, operator. And thank you all for your participation on our second quarter earnings call. We are pleased to deliver another quarter of solid performance and are making the necessary strategic investments to fuel sustainable long-term growth in the business. At the same time, we are pursuing a disciplined approach to capital allocation, which has created the opportunity to return a significant amount of excess cash to our shareholders. Stay tuned for more details on the timing and agenda for Investor Day, which we are planning for this coming fall. We look forward to updating you on our progress when we next report Q3 results in November.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.